Operator: Welcome to the Ardagh Metal Packaging SA Third Quarter 2024 Results Call. Today's conference is being recorded. At this time, I'd like to turn the conference over to Mr. Steven Lyons, Investor Relations. Please go ahead. Stephen Lyons Thank you, operator, and welcome, everybody. Thank you for joining today for Ardagh Metal Packaging's Third Quarter 2024 Earnings Call, which follows the earlier publication of AMP's earnings release for the third quarter. I'm joined today by Oliver Graham, AMP's Chief Executive Officer; and Stefan Schellinger, AMP's Chief Financial Officer. Before moving to your questions, we will first provide some introductory remarks around AMP's performance and outlook. AMP's earnings release and related materials for the third quarter can be found on the AMP's website at ir.ardaghmetalpackaging.com. Remarks today will include certain forward-looking statements and include use of non-IFRS financial measures. Actual results could vary materially from such statements. Please review the details of AMP's forward-looking statements disclaimer and reconciliation of non-IFRS financial measures to IFRS financial measures in AMP's earnings release. I will now turn the call over to Oliver Graham.
Oliver Graham: Thanks, Stephen. AMP recorded a strong business performance in the third quarter and delivered another set of results ahead of guidance with both segments performing strongly. Global beverage shipments grew by 2% in the quarter versus the prior year with revenue broadly unchanged, while adjusted EBITDA grew by 15% with strong double-digit growth across both segments. This strong growth in adjusted EBITDA reflects Europe's continued margin normalization post the continent's energy crisis and with strong input cost management, and in the Americas, improved manufacturing performance and a favorable volume mix impact. We're encouraged by the strength of beverage can demand in the context of resilient beverage consumption trends across each of our markets during the quarter. We expect that the beverage can will continue to outperform other packaging types supported by customer innovation and the can's positive credentials regarding circularity and decarbonization. Our outperformance through the year versus initial expectations, particularly in Europe, gives us the confidence to further improve our full year guidance for adjusted EBITDA to $650 million to $660 million. We continue to progress our sustainability agenda and we recently concluded a large-scale virtual power purchase agreement in Portugal, commencing in 2026, which will represent approximately half of AMP Europe's continental energy consumption. This represents a major step towards the achievement of our 100% renewable energy target for 2030. And also in this quarter, alongside other industry stakeholders, we were one of the two co-sponsors of a two-day summit to advance how the aluminum beverage can value chain can enhance its leadership on key sustainability issues such as decarbonization pathways and recycled content measurement. If we turn to AMP's results by segment. Firstly in Europe, third quarter revenue increased by 2% to $572 million compared with the same period in 2023, principally due to the pass-through of higher input costs to our customers. We saw solid growth in shipments of over 2% for the quarter on the prior year in the context of a strong end market. Growth was broad-based both by product and by geography as customers maintained increased focus on volumes, favor the can in their pack mix, and rebuild the inventory level. Our own shipments performance was slightly held back by short-term capacity constraints related to certain cabin sizes, particularly after customers were cautious on inventory build in the first part of the year. Third quarter adjusted EBITDA in Europe increased by 18% to $79 million due to favorable volume mixed and stronger input cost recovery partly offset by higher operating costs due to additional manufacturing complexity. We're encouraged by the strong end market through the summer period. This together with a strong start to Q4 gives us confidence to increase our expectations for shipments growth for our European business to 3% to 4% for the year overall. From our prior guide for low-single-digit growth, the uncertain nature of the recovery in Europe has informed our initial guidance range for overall adjusted EBITDA for the year. Our confidence in the region's recovery underpins our improved overall full-year outlook for the group. Turning to the Americas, revenue in the third quarter increased by 1% to $741 million, which reflected favorable volume mix effects in the pass-through of higher input costs to customers. Adjusted EBITDA in the Americas increased strongly by 13% to $117 million with growth in both regions, which was driven by favorable volume mix effects and lower operating costs including a stronger manufacturing performance and improved fix absorption. In North America, shipments grew by 1% for the quarter in line with our estimate for the market, despite energy category softness and against a strong prior year comparable. In the quarter, we saw a solid performance in carbonated soft drinks and sparkling waters, which combined to represent over half of our portfolio. We also saw growth in beer, reflecting our contracted new volumes. Overall, this attractive portfolio mix underpins our outperformance year to date with shipments growth of 5% versus modest industry growth. The current softness in the energy category, which represents a low teens percentage of our North American portfolio, is currently restraining our growth and will result in some weakness in the fourth quarter. We're confident in the medium-term outlook for this well-established category. In Brazil, third quarter beverage can shipments increased by 1% against the backdrop of a very strong market. We enjoyed strong growth across the majority of our customer base but were impacted by specific customer-filling location mix towards the end of the quarter. Volume mix benefited from the timing of end sales as a result of customers preemptively securing their supply chain for the summer season. The Brazilian can market continues to grow very strongly, driven by a supportive macroeconomic environment as well as the pack-mix shift back to one-way packaging. Industry growth for the year, overall, looks to be on track for growth at least in the order of a high single digits percentage. We expect to record a decline in shipments in the fourth quarter, reflecting some continuation of customer indication mix effects, plus the strong prior year performance where shipments grew by 34%. We now expect shipments growth in the Americas in the order of a low single-digit percentage for 2024. I'll hand it to Stefan, our new CFO, who joined us in September. He'll talk you through our financial position before I finish with some concluding remarks.
Stefan Schellinger: Thank you, Oli, and good morning. Good afternoon, everyone. I'm excited to have joined AMP. The business operates in an attractive market and based on the time I spent in the business so far, I think the company is well-positioned to drive further growth, particularly given our well-invested manufacturing footprint and our strong customer relationships. Already had the opportunity to meet with several analysts and investors and I'm looking forward to the continued engagement. So now let me comment briefly on AMP's financial position. Our adjusted free cash flow generation for the quarter of $150 million was a strong performance, driven by EBITDA growth and a tight focus on cash management. This included a modest net working capital inflow of $10 million and total CapEx of $34 million, which included $60 million of gross CapEx. We now expect gross CapEx for 2024 to below $100 million. As a result of our free cash flow generation and EBITDA growth, reduced our net leverage ratio from 5.8 times at the end of Q2 to 5.6 at the end of the third quarter and we expect a further reduction at year-end to the low-5s territory, supported by the usual seasonality of working capital inflows and anticipated CapEx of slightly over $200 million, including gross CapEx. We ended the quarter with a liquidity position of $707 million, an increase from $405 million at the end of the second quarter. In the quarter, we completed and drew down the previously announced $300 million term loan and we used the proceeds to pay down our global asset-based loan facility. So this financing is neutral to net leverage, but strengthens the overall liquidity position of the company. As previously indicated, the new term loan has a five-year maturity and is secured on a power basis alongside our senior secured green notes. The terms of the loan caps dividend payments at the current levels. At the Beginning of the fourth quarter, we have entered into a BRL500 million or approximately $90 million local currency credit facility in Brazil, which further deepens AMP's access to liquidity. Overall, we now expect to end the current year with a very strong liquidity position of approximately $1 billion. We have today announced our quarterly dividend of $0.10 per share to be paid in December in line with our guidance and our capital allocation policy, which remains unchanged. With that, I'll hand it back to Oliver.
Oliver Graham: Thanks, Stefan. So, before moving to take your questions, just to recap on AMP's performance and our key messages today. Firstly, our adjusted EBITDA growth was ahead of guidance for a third successive quarter with both segments delivering double-digit year-over-year growth and global shipments growing by 2%. Secondly, our strong year-to-date performance, particularly in Europe, gives us confidence to improve our full-year adjusted EBITDA guidance range to $650 million to $660 million. And finally, our actions on liquidity and strong cash flow performance resulted in liquidity of around $0.7 billion in the quarter, which we expect to increase to $1 billion in the fourth quarter. Our full-year EBITDA guidance is underpinned by global shipments growth expectation of 2% to 3% and stronger input cost recovery. In terms of guidance for the fourth quarter, adjusted EBITDA is anticipated to be in the order of $140 million to $152 million. Having made these opening remarks, we'll now proceed to take any questions that you may have.
Operator: [Operator Instructions] And we'll go first to Anthony Pettinari with Citi.
Anthony Pettinari: Hi, Good morning.
Oliver Graham: Hi Anthony.
Stefan Schellinger: Good Morning.
Anthony Pettinari: In terms of the -- hey, in terms of the Americas volume outlook, I think last quarter you talked about low-single-digit to mid-single-digit for the year, and maybe that's now closer to low-single-digit. Just want to make sure, if that's right? Is the primary driver there the weakness in US energy? I know you also referenced a customer issue in Brazil. Just wondering, from a big picture perspective, what's riving that delta?
Oliver Graham: Yes, I think it's right to say we're calling down our volume expectation in the Americas. As Europe has strengthened, we do have the pockets of weakness in the Americas. The first is the energy category and some of the energy customer mix in North America, where we had a further drag in Q3, and we do forecast that drag persisting through Q4. And then the second, as I mentioned in the remarks, we had a specific customer and actually a specific filling location issue in Brazil. So a customer took a particular commercial position in the market, increased price, reduced volume, and that meant that one of the breweries in particular took some downtime and that affected us as that was a brewery we served. And that happened towards the end of the quarter, and we still see that persisting into Q4. So, yes, it's both those factors that have led us to cool down the expectation for the full year on America's volumes.
Anthony Pettinari: Got it. Got it. And then just shifting to Europe, you had a very strong year. And as you kind of look back on the year, like 2024, I guess you had somewhat easier comps, you had Euro, the Olympics, understanding you're not giving guidance for 2025. But can you just talk about some of the drivers of European bev can demand? And as we think about the next few years, how much of that is driven by maybe substrate share shift, maybe new product categories? Just trying to understand maybe the sort of long-term or mid-term sustainability of the real strength that you and others have seen in European bev cans?
Oliver Graham: No sure. So I think, as you know, Anthony, Europe has always been a growth market in beverage cans for the last 20 years, 30 years. We've seen easily average 2% to 3% going into the pandemic, higher than that as we started to see increased pack mix substitution. We have the recovery in Germany, long term impacts there. So I think we're seeing that trend normalize, although the consumer is not in great shape, I think they're stabilizing a bit. And we definitely mix gains this year in all of our markets against both plastics and glass packaging in Europe. So yes, we look forward into 2025 and beyond with a lot of confidence, I think, for the growth profile of Europe. I think the factors that are in place this year will continue to be in place in terms of pack-mix, in terms of the Germany recovery, long-term recovery. And then, I think we also would expect to see some strengthening on the consumer side as inflation moderates and interest rates come down. So, yes, we believe we left at least one to two points of growth on the table this year and in the quarter due to constraints we had on certain sizes that were particularly growing strongly in the market and where we had less capacity, and also on the back of early -- muted inventory bill by our customers in the first part of the year. So we know our number could have been better. And, yes, we're looking forward into 2025 with a lot of confidence for the growth of Europe.
Anthony Pettinari: Okay. That's very helpful. I'll turn it over.
Oliver Graham: Thanks, Anthony.
Operator: We go next to the line of Cashen Keeler with Bank of America.
Cashen Keeler: Yes. Hi. Good morning. Thanks, Oli and Stefan. I guess going off the last question, as you look out to 2025, directionally, as you sit here today, I guess, what would you expect in terms of market growth in each of your regions and maybe some of the drivers behind that? And then how would you expect Ardagh to perhaps perform against that?
Oliver Graham: Sure. Yes. Hi, Cashen. So, look, I think, as I said, on Europe, I mean, it was traditionally at least a 2% to 3% market. It can easily be in that range or a bit ahead of that range if the consumer strength improves as we go into 2025, which I think is a reasonable prospect, and with the pack-mix shifts that we're seeing. So I think that's a very reasonable place to be. And we'd expect ourselves to be in line with that market. We're very broadly based in Europe, mostly Northern, but with Southern representation, pretty balanced beer and soft drink. So typically, we're around the market in Europe. Then I think, if you turn to North America, we see that as a low singles market. I think there's still decent potential upside in North America from pack-mix shift, again, with the amount of innovation that's going into the can with some of the pressures on other substrates. So we do see that as -- should be a growth market. We think it's in the 1%, 1.5% this year. And it could tick up above that, in which case, we're talking a $120 billion can market. So I think I've said it before, but if you get into the 2% to 3% range, you need a new chem plant every year. So, again, we'd expect ourselves to be broadly in line. We're largely constructive, I think, about the recovery of the energy category. It's taken a bit of a dip this year after some very strong growth the last couple of years, there's very strong players in that category, strong overall track record of delivery -- of innovation delivery over the years. And we see certainly at retail, significant shelf space, increasingly dedicated to the energy category. So yes, we'd expect the market to be in that low singles, and broadly, we'd expect again ourselves to be in line. We don't see in our business today any particular contractual gains relative to the ones we've seen in the last few years. And then Brazil, obviously, I mean, unbelievable growth this year. We're still in double-digit territory year-to-date. I mean, we mentioned we see high singles for the year, but it could potentially be better, but that certainly seems pretty likely. And we see with Brazil that it goes through these dips occasionally. But if you look back 30 years after those kind of dips, you get a few years of very strong growth. And that's what we'd hope for. So, I mean, I think mid-single digits we got as a relatively conservative estimate for Brazil in 2025. And then in terms of our growth, I think, we'll still be a little bit cautious on that relative to the market just because our peers have talked about this. It is very related to the commercial strategies of the big brewers, of which they're a relatively small number. We don't participate on the soft drink side of the house. It's also been very strong this year. But depending on the commercial strategies of our customers, you can see higher or lower growth. As I said on -- in the remarks, we've had double-digit growth across most of our portfolio, but we have had one area of weakness. So we're probably pinning ourselves at that sort of market level at the moment, maybe a tickle to below just to be cautious. But overall, and again, I've said this before, during the year, if you've taken these market trends on January 1st, we'd have definitely taken them. I think there's been excellent strength through all of our markets and also increasing tightness in our markets from a supply perspective in the season, or on certain sizes or certain regions. And that's obviously all very structured for our business.
Cashen Keeler: Got it? Okay. And then if I could just sneak in two more on CapEx. I understand you called out that growth CapEx will be lower than the $100 million next year. So I guess first on that, how long do you think you can grow into your current network without considering more growth CapEx? And then additionally, on the same token, can you just help us further understand your path on deleveraging from here, and when you would expect to achieve some of that targeted leverage range? Thanks.
Oliver Graham: Sure. Yes, I'll kick that off and I'll pass to Stefan. So I think we're broadly in the same as we were earlier in the year that we've got a year or two of growth into the existing capacity. Obviously, we do sometimes have to spend to adjust the networks to different regional or seismic exchanges as we did in the US this year. And we see a couple of those kind of projects to, again, align ourselves with the growth, particularly in Europe, where we were not perfectly aligned this year. But at the moment, from an overall capacity point of view and with the continued ramp-up of a couple of projects, again, particularly in Europe, we think on current market trends, we could go for another year or two without any significant additional capital -- growth capital. I'll pass the deleveraging question over to Stefan.
Stefan Schellinger: Yes, I think the delevering, I think, comes from various sources. I think, first and foremost, I think, is organic growth and EBITDA growth that translates into cash flow. We talked about the CapEx side of things where we are sort of expecting lower BGI growth. And I think these are definitely two of the major contributors. So I think -- and then obviously sort of the brilliant basics as it comes to running a business sort of on the working capital side, expecting sort of a small inflow for the full year and continue to work on that. So I think the market grows sort of our own position in the market and our own organic growth, I think in combination with some other cash flow levers should continue to drive us to deleveraging profile.
Operator: [Operator Instructions] And we'll go next to Josh Spector with UBS.
Josh Spector: Hi. Thanks. Good morning. I wanted to just follow up on some of the comments in Europe. So I think, in the past couple of quarters you talked about some production constraints due to kind of mix and pack size maybe being out of sync with where you had capacity. I'm more curious, does that demand or volume get lost, so does that go to another competitor because you can't fill that? Is that something you catch up on in the following quarter or the following year? Just, can you walk through some of those dynamics, please?
Oliver Graham: Yes. Sure, Josh. So look, I think it was clear that the market overall was very tight in Europe this year. So I think it wasn't just us that had some constraints in certain regions and sizes, and we saw that because customers did keep looking for support. So I think that not all of that volume necessarily got picked up elsewhere, but some certainly did. And then I think you have a whole mix of things that happen with that. Sometimes, yes, those volumes can stay, sometimes they'll come back because obviously, we have contractual situations. And we're not talking about a huge effect on our overall business at the total level. So I think, yes, we traditionally in the European market have seen some of these issues because it's a complicated market, multi-regional, multi-size, many different customers. And so getting the exact alignment, particularly in a year like this year where we went in with relatively low levels, customers were clearly cautious at the back end of last year. They remained quite cautious through Q1. At that point, you can get into a situation in the season, where you don't have the fresh production capacity to meet all the demand, as it turns out. So, yes, I don't see it as a major effect on our business, but it certainly, I think it clearly held us back by a point or two of growth.
Josh Spector: Okay. I guess what I'm trying to understand is, does that help you guys next year? So are your customer inventories lower than where they would like to be? And if the industry grows X, you might grow a point above X, or is that not the right way to think about it?
Oliver Graham: I think inventories will be resolved this winter and Q1. So I don't think the industry will do what it did last year, where we definitely saw the customers running for cash towards the year-end and we definitely saw caution off the back of that in Q1. So I don't think we'll see some inventory rebalancing, and that's partly why we see Q4 stronger than last year. So you can already see if you like your point of extra growth sitting in our guide for Q4 and in the overall industry guidance. I've seen this already from our peers that we expect a better Q4 2024 than 2023. So I don't see it as a massive impact on 2025, but I think it will get resolved over the next six months.
Josh Spector: Understood. Thank you.
Oliver Graham: Thank you.
Operator: We go next to Arun Viswanathan with RBC Capital Markets.
Arun Viswanathan: Great. Thanks for taking my question. Hope you guys are well. Maybe I can just get your thoughts on different categories. I know that you've called out some weakness in energy in North America, but as you look into maybe say beer and some of the other markets around water and carbonated soft drinks, are you seeing any incremental kind of improvements in demand levels? It seems like we're settling down now with the lack of destocking, but it still appears that the consumer has been under quite a bit of inflation pressure, and not really seeing any material improvements in some of these categories. So maybe I just get your thoughts on those other categories as well, both beer and NAVs as well.
Oliver Graham: Sure. So I think the scanner data would say there's been some improvement actually, if we look at the last sort of one to two months, there's clearly a trend of improved can sales across categories, which we also think we can detect. I think the particular areas of strength, carbonated soft drinks is definitely one. So CSD shape and sparkling waters, I think also in very strong this year and again, particularly strong last four or eight weeks. Beer is weaker for sure, but, obviously, in our portfolio, we've gained some contractual positions in beer, so we see a bit of growth there. And then, yes, the rest of the alcohol space had for us a very strong first half and a slightly weaker Q3, but it had a very good first half. So, yes, the main area of weakness clearly, clearly is the energy category.
Arun Viswanathan: And -- thanks for that. And then just as a follow-up, I guess, I know the question was asked about Europe maintaining pretty strong growth, but I guess maybe we could also get your thoughts on Latin America and Brazil. It seems like there were a couple of years, where glass was making some inroads back. It seems like the substrate shift has shifted back to cans now, more recently. I guess, what do you see going forward as far as sustainable growth rate down in Brazil? Thanks.
Oliver Graham: Sure. Look, I think we're talking about 20, 30-year trend out of returnable glass into one-way packaging, which is a trend you see replicated across all markets as GDP per capita rises. So it does occasionally get interrupted, either because of big economic effects, which we've seen occasionally. But the particular issues that we faced coming out of COVID was a very high aluminum price with the LME. So for our customers, that was a big issue. Obviously, we -- for us, it's just a hedge issue, but for them, it was a price issue in the market. We saw a lot of inflation on other aspects of our cost base. And so, we saw particularly the largest brewers down there make a very deliberate shift into returnable two-way glass, where they have a big float, they have a big system, which they can exploit when needed. And I think that typically what then happens is that there's a loss of market share in the off-trade and the brands become less relevant. And so then we're seeing what we see this year, which is a return to the off-trade as the can cost base moderated. And that then usually is the strongest trend. And that's the trend that persists. And as I said earlier, if you look back over the long time period, you get these one- to two-year periods where there isn't the same growth in cans. And after that you can get some very strong growth for a number of years. That's why I think, a mid-single digits number for Brazil is a pretty safe number given we're sitting at double digits for this year today. And there's a lot of runway to go still on returnable glass substitution. So, yes, I think that's our view on Brazil. We don't participate in other Latin American markets, so I can't comment on those.
Arun Viswanathan: Thanks a lot.
Operator: We'll go next to Stefan Diaz with Morgan Stanley.
Stefan Diaz: Hello, good morning, or good afternoon, and thanks for taking my questions. Maybe Stefan starting with you. Great name, by the way. The messaging has been pretty clear from the company that your arrival doesn't necessarily mean, I guess, any major changes to AMBP's capital allocation strategy. I guess that said, after a month and a half at the company, maybe, what are your first impressions and any specific things you think the company can improve on?
Stefan Schellinger: Yes, look, the first impressions are actually very good. I spend a lot of time on the road. I went out to the US, North America, to Brazil and traveled to then Europe, and I had the opportunity to meet the regional leadership team, to meet the finance teams, to go into various sites, plants with the technical and engineering centers, and obviously spend a fair amount of time. The finance team and the operational teams, on assessing sort of the processes, the data, availability of information, decision-making processes, et cetera. So I think all that has been, has been very positive. I think it's a well-run company. I think in terms of going forward in regards to improvements, I think every company has things that are to be improved, and it's all sort of a mindset of continuous improvement. I come from the Danaher world that's embedded a little bit in the DNA. So I think there are a lot of things we continue to work on. I think the commercial excellence, I think the operational side, I mean, there's a lot of capital employed. Generally speaking, the industry is asset-intense, getting the returns out of the deployed capital and continuously working on your cost position. So I think, as you would probably expect from, I think any incoming CFO, I think there are a lot of good things to build on, but there are things to improve. And I think in that spirit, I think we continue to travel on this journey here.
Stefan Diaz: Great. Thanks for the color. And then correct me if I'm wrong, but I believe you guided to $30 million to $40 million of underabsorption in 2024, which is actually a benefit, when you compare it to 2023. Profitability came in better than we were modeling. So I guess maybe is the $30 million to $40 million under absorption still the right way to think about 2024, and I understand you're still in your planning phase for 2025, but I guess if we assume sort of normalized low single-digit global volumes, initially, what do you think that under absorption would be next year? Thanks.
Oliver Graham: Sure. Yes. Look, I think it's still the right way to think about this year because I think we're actually a little bit under our volume guide for the year with the weaknesses with the energy category in North America and now there's specific issues in Brazil. So I don't think anything has changed on that as we look at the year. The main gains we've made this year have been around input cost recovery where we had a very strong performance, which has helped us on the price cost line. And then looking into next year, as you say, we're in the middle of the budget process, so we're not detailing anything out, but I think it's fair to say that we expect the $30 million $40 million to drop again next year as we grow into the capacity. The exact number, we won't guide today, but we can talk about at the full-year results. But I think it's reasonable to expect some improvement on that line as we, as I say, grow into the underused capacity.
Stefan Diaz: Great. Thank you so much.
Oliver Graham: Thank you, Stefan.
Operator: We'll go next to Gabe Hadje with Wells Fargo.
Unidentified Analyst: Hi, good morning, this is Alex on for Gabe. So my question is actually so on Europe, if you look at the scanner data, I mean it seems like promotional activities was quite high during the first half and I guess you could kind of base it on the Olympics, the Euro Cup, whatnot. But my question is that if -- in 2025, if promotional activities are lower next year, do you still have confidence in that volumes would perform in line with your expectations? Or is there some sort of level -- promotional level that you guys are thinking where it would have to -- that will be needed to support a low-single-digit growth next year?
Oliver Graham: Yes, look, I think, if you look at the packing of this year, we actually see in the scanner data that May, June were the weakest months actually with problem -- the weather in northern Europe was terrible, and there was definitely a bit less sell through there whereas actually July, August were very strong. And we look at the data we're beginning to get for Q3 on the can side, you could be talking over five soft drinks side, and sort of in the 2% to 3% range on the beer side. So I think that was the shape of the year, which tells you this is not all about the euros, it's not all about the Olympics, which we never thought it was. The Olympics have never had any particularly major impact on our volumes that we've been able to discern over the years. And again, I take you back to the fact that Europe's been a growth market for 20 odd years with normal levels of promotional activity. I'm not sure we're even back to normal levels of promotional activity yet. We don't have chapter and verse on that, but I think we've certainly seen customers leaning into volume this year after two years of really not doing that. And I think there could still be further to go on that dimension actually. But I don't think that Europe's growth depends on that. I think we only have to get to what you might call normal, which I think this year is a reasonably normal year on promotional activity. And then, all the other factors play in, which is, again, the advantages of the can and the pack-mix growth in certain segments from a liquid point of view, growth in certain regions from a liquid point of view. As I say, the recovery in Germany is still pretty strong. So yes, Europe doesn't need some elevated level of promotional activity to grow next year. I think that all the factors are in place for a good level of growth next year without that.
Unidentified Analyst: Okay. Thanks. And I guess another way of thinking about that is as beverage producers look to lean on volumes in 2025, I would assume they're trying to be more mindful on procurement costs and whatnot. I guess what kind of -- how are you guys thinking about this next year as maybe some of your customers try to seek some more favorable pricing terms, I guess.
Oliver Graham: I mean, I don't think we've ever been in a year where they haven't sought additionally improved terms. So I don't think there's anything new in the can industry from our customers looking for better pricing. But then equally, we need to get paid for what we do and we have contractual structures and long-term contracts. So more of the factors that will drive this in Europe in 2025 will be some of the PPI rates, some of the ways that the shorter length contract negotiations play out through the autumn rather than any particularly elevated activity by our customers, who, in general, are seeing moderating input costs in the last year, including our input costs, and also some of the, as I said, the broader LME type costs that are coming into that P&L. So if I take the euro in particular, I think there could be some headwinds from the falling PPI for our business with the pass-throughs that equally there are many other things on the price cost line will affect how that one plays out. And we're certainly not calling it yet. We need to go through the autumn and do our full budget process. And if I take our business as a whole, we have some very robust pass-through mechanisms, particularly in North America, but also in Brazil. So I have no particular concerns on that front. If I take the business as a whole, I think there could be a few headwinds in Europe, but we've got many other levers to pull to address those.
Unidentified Analyst: Perfect. Okay. Thank you very much.
Operator: Thank you. We'll take our next question from Michael Roxland with Truist Securities.
Niccolo Piccini: Yes. Hi, guys. This is Niccolo Piccini on for Mike. Thanks for taking my questions. I guess just to go back and touch on promotional activity again, can you comment on trends you saw in North America over the last quarter and maybe where you think that's going to end up as we head into the end of the year and then off of that just kind of what the cadence of shipments were in North America if you could share?
Oliver Graham: Yes. So look, I think promotional activity is back at sort of around the same levels as last year, which I think if you look at this is in soft drinks, I mean we participate less on the beer side and where it has been pretty muted promotional activity. And so, you say it's still probably not as strong as pre-pandemic levels. I think 2023 numbers we were comparing to some decent distance back to them, but not necessarily at that level yet. But despite that, if you look into the data, CSD in cans is a growth package in the last four weeks to eight weeks and definitely in our data we certainly see that. So again, I don't think we need to get too hung up on that on the soft drink side of the house. I think that there will still be in my estimation some leaning into volume and promotional activity as we go forward. But equally, it seems that we're getting growth without a full return to pre-pandemic levels, which is probably good for the industry overall because I think some of those pre-pandemic levels of promotion -- no profit in the value chain. So it's probably better overall if there is still profit in the value chain. So yes, I think that -- I don't think we need to get too concerned about that. As I say, on the beer side of the house, I think it looks a bit less and then as we look into 2025, we're also still pretty constructive about CSD growth in North America. And remember, I think there are some significant pressures still on plastics in all customers' portfolios. So I think we do see an ongoing tailwind for the can in that area.
Niccolo Piccini: Got it. Thank you. And then just on a certain cadence of shipments as you move through the quarter.
Oliver Graham: Yes. So July was strong. We had -- yes, July was very strong for us. August, we were tracking a strong comp, so that was a bit weaker. And September was sort of between the two, and it looks like October is trending in a similar place. Europe trending very well in October, more than double the Q3 result. And Brazil, we talked already about this specific issue. That means it's definitely weak in October.
Operator: We'll go next to Roger Spitz with Bank of America.
Roger Spitz: Thank you very much. I wonder if you might go over some of the other cash flow items you talked about EBITDA and growth CapEx being a little less than $100 million. Is base CapEx still $120 million? And have you changed anything from cash interest, cash taxes, working capital, lease closure cost, startup costs, et cetera?
Stefan Schellinger: Yes. So on the working capital side we still expect sort of a moderate inflow order magnitude $40 million to $50 million for the full year. On the cash interest probably slightly below $200 million. The cash tax sort of in the 30-ish sort of order of magnitude. Then on the lease side sort of, we continue to expect around $90 million, and I think we also guided towards a little bit over $50 million on the cash exceptional side.
Roger Spitz: Perfect. And then just when you borrowed the $269 million term loan from Apollo, I mean cash is fungible, but did you effectively use it to both pay down the ABL and then cash to the balance sheet?
Stefan Schellinger: Yes, correct. It was used to pay down the ABL. So it's really neutral from a net leverage perspective. But that was the way we used to proceeds.
Roger Spitz: Great. Thank you very much.
Stefan Schellinger: Welcome.
Operator: We'll go next to Stefan Diaz with Morgan Stanley.
Stefan Diaz: Hi. Thanks for taking my follow on. So aluminum prices are roughly up 20% year-over-year. Obviously lower than the levels we saw in early 2022. I understand aluminum is a direct pass-through for you, but do you think there's a price level, where you believe your customers may start to substrate switch to protect their margins?
Oliver Graham: I mean there is, and we saw it in Brazil as we talked about with the returnable switch, but it's significantly higher than this, I think. I mean we're talking -- we were in the 3,000 to 4,000 level set various points in that cycle. So I think we're a long way from that and we certainly see overall the input cost of the can have been relatively favorable over the last 12 months or 18 months relative to other substrates. So, yes, I think we still think we're in a good place from a customer mix choice. And we have all the evidence for that from this year, particularly in Europe.
Stefan Diaz: Thank you.
Oliver Graham: Thanks, Stefan.
Operator: And at this time, we have no further questions. I'll turn it back over to our speakers for any additional or closing remarks.
Oliver Graham: Yes. Thanks, Melinda. Thanks, everyone, for joining today. Obviously, a good quarter for us of earnings ahead of expectations, which is the third -- and the third successive quarter we beat against our guidance. And then obviously, particularly pleased that with the strong year-to-date performance, we've been able to raise the full year guide as well. So again thanks for taking the time, and we look forward to talking to you at the full-year results.
Operator: This concludes today's conference. We thank you for your participation. You may disconnect your lines at this time.